Kenneth Wilson: Good morning, and welcome to our FY'24 results presentation, both here in the room and on the webcast. I'm absolutely delighted to be joined this morning by Giles Wilson, our new CFO, who joined us three weeks ago. Also in the room from Dr. Martens, we have Paul Mason, our Chairman, and also Ije Nwokorie, who's our Chief Brand Officer and who will also succeed me as CEO later in this financial year. And also, Bethany Barnes, our Head of Investor Relations. So our agenda for today, I'm going to provide a very short overview of what we're going to talk about, and then I'm going to hand over to Giles, who will take us through our financial results for the last year. And then I'll return to provide a business update. So FY'24, as you'll hear from Giles, our FY'24 results were in line with our guidance. However, our USA performance was disappointing, which dragged down overall Group performance. FY'25 is going to be a year of action, where we will focus on our USA action plans, on marketing, and on driving savings. And I'll cover this in detail later. Then in FY'26, we will have Dr. Martens back into growth. With that, I'd like to hand over to Giles, who will take us through the numbers.
Giles Wilson: Thank you, Kenny, and good morning, everyone, here in the room and on the webcast. It is great to have joined Dr. Martens. I very much look forward to working with the team and getting to know you all over the coming weeks and months. Before I run through the financial results, I thought it would be worth me giving you my first impressions from my first three weeks and what attracted me to joining Dr. Martens Plc. I have split this into three key areas. Firstly, looking at the product and what an iconic product and brand Dr. Martens is. A brand that has more than stood the test of time and is so close to so many people's hearts. When I told my friends and my family that I'd be joining Dr. Martens, without exception, an instant reaction was a smile on their face, showing the strength of the brand. Many people telling me about the pair they owned, had owned, were now going to buy again. And what really stood out to me when doing my research was the depth and the breadth of the people that the band appealed to. Having worked in a premium and luxury goods company for the past few years, the absolute key ingredient to the long-term success of any premium brand is foremost its quality. And the reputation and the quality of Dr. Martens products are exceptional. Secondly, the opportunity. Even following the historical growth rate of the past 10 years, the depth and the breadth of the opportunity remains significant across three main areas. The room for growth in the key markets and products where the brand is already strong. The headroom to grow in our diversified portfolio range in those markets remains compelling. And then beyond current opportunities and looking to the longer term, there's still both untapped markets and new categories to grow into. And finally, the financials. The core gross margin of Dr. Martens is really strong, which is in any business, gives a great underlying base to build from. This cannot easily be started from scratch and this leads to a highly cash-generative business. But the downside can be where the top line declines. As we're currently seeing, there is a significant deleverage impact to the bottom line. This is particularly pronounced for us in full year '25 and full year '24, as the cost base was built in anticipation of a much larger business. Therefore, it is right we now scrutinize our cost base and drive efficiencies where we can, and I'll set that out on a slide later. As I said at the beginning, this is only my third week. However, I believe you'll see in the coming finance slides, I've started to introduce some more clarity in the financial information and some use of more traditional metrics. So turning to the summary financials of full year '24 and focusing on the key takeaways. Although total pairs are down 16.7% due to the better D to C mix, which can be seen in the increase in gross margin rate, the revenue decline is just under 10% on a constant currency basis. As I will explain later, most of this decline comes from U.S. wholesale. Even though operating costs are relatively flat in year, the operational deleverage can clearly be seen with EBITDA dropping 19% year-on-year. I've introduced EBIT on this slide, which I'll focus on more than EBITDA. This allows you to assess the full operating performance of the business, including the impact of depreciation. As I set out on the next slide, the impact of store estate expansion and our new distribution centers increases depreciation, and that coupled with the shortfall of revenue leads to a year-on-year drop of EBIT of 31%. Finally, PBT before the FX impact of our accounts receivables and payables, as well as our Euro debt, which leads to a net 4.2 million P&L charge at the end of the year. Giving the increasing impact of depreciation has on the overall profitability, and there is a particular jump up this year, I felt it was worthy of more analysis. This slide shows the three main categories of depreciation and amortization. The top line shows the amortization, which reflects the IT projects, and this figure has grown through time as projects have come online. Depreciation mainly reflects fixtures and fittings in our stores, and as store numbers increase and are refurbished, this line reflects that investment. Finally, the largest figure is IFRS 16 depreciation, which is made up of three areas. Circa 55% relates to our stores, circa 35% is distribution centers, and the remaining 10% is made up the rest, for example, our offices and our showrooms. The £90 million increase from full year '23 is particularly pronounced this year, with around 70% due to distribution centers, reflecting the full year impact of these centers as they only came online during '23, as well as a catch up from full year '23. New stores, IFRS 16 depreciation year-on-year accounts for circa 6 million, reflecting the impact of the 35 new stores in year. Looking forward, we expect the year-on-year increases to be significantly less, and only really reflecting new stores or IT projects coming online. And as we show in our guidance later for full year '25, this is expected to be between 75 million and 80 million. This slide shows the revenue by channel, and I'll go into more detailed bridge on the next slide. However, key to pull out here is the growth in retail stores, revenue still reflecting post COVID recovery, as well as new and maturing stores. Underlying like-for-like retail stores growth is negative, which is more reflective of the overall challenging market conditions. eCommerce remains broadly flat, and therefore overall DTC growth was 5% on a constant currency basis. The overall group revenue year-on-year decline is all about wholesale, mainly the U.S., but also some strategic decisions across Europe and APAC. Albeit of a lower base, the DTC mix of 61% is much more the shape of the revenue that the business is looking for in the long term. I found this really helpful in my first three weeks to really understand the reasons behind the revenue decline. The boxes in the bridge set out the key movements by channel and market. It can clearly be seen that America's and particularly America's wholesales accounts for the vast majority of the year-on-year decline. Over 100 million of the group's 123 million decline is America's with 80 million of that being America's wholesale. This reflects the overall weak consumer spending and challenging boot market, which Kenny will pick up in more detail later. EMEA and APAC both show wholesale going backwards but this is predominantly due to strategic decisions to reduce volumes in e-tailers in EMEA. The transfer of some Japanese franchise stores and the exit of the China distributor. Though reduced volume in the short-term, these decisions to exit wholesale accounts is the right thing to do for the long-term of the business. On a more positive note is the performance from both EMEA and APAC DTCs showing year-on-year growth as reflected by the two yellow boxes. The numbers are slightly benefited in EMEA with the timing of Easter. However, given the overall market conditions, the performances for both EMEA and APAC showed good resilience in full year '24. A new slide for this year showing the key year-on-year movements in EBIT. Just to explain this slide in a bit more detail, the hatch boxes is the reported EBIT each year to show true movements. I've stripped out the impact of FX charge as I explained earlier. The underlying EBIT drops from 186.9 million in full year '23 to 126.4 million in full year '24, driven by 99 million from the impact of volume added standard gross margin. The impact of better DTC mix and price offset is by 39 million. The continued focus on our costs in our supply chain delivers a further 18 million of upside. Overall operating costs are held to be slightly negative at 5 million and as already explained, the increased 18 million year-on-year on depreciation and amortization charge and all other items circa 5 million. Therefore, the total decline in EBIT is 60 million, again showing the significant impact of deleverage from the volume loss. Turning now to cash flow, a key focus of mine as I take on my new role. The gray boxes are the net bank debt being bank debt less cash and the red boxes show the lease liabilities. The first four boxes in the bridge reflect the net cash flow generation from the operations of 88 million being 198 million from EBITDA offset by lease payments, working capital movements and interest and tax payments. From this 88 million of cash generation, 28 million was spent on CapEx and 108 million was paid out to shareholders through a £50 million share buyback and £58 million of dividends. With a small positive movement in the FX, the net bank debt increased year-on-year by circa 40 million and the new lease liabilities adding a further 30 million to deliver an overall net debt of 358 million. At the end of the year, the £200 million revolver remains undrawn. This slide is part of the additional clarity of information that I referenced at the start. This is intended to be the background to the cost action plan, which I'll explain on the next slide. The bar sets out how full year '24 total group cost base, totaling 750 million is split down to EBIT. Firstly, 40% of our cost base is cost of goods, which is a very well controlled cost following the continued execution of the Group successful supply chain strategy. The next section is regional support costs, which includes the stores and the distribution centers. So in full year '26, we'll benefit from the unwind of the excess U.S. inventory storage costs and also includes the royalties, which are a fixed percentage of revenue. The Group support is flattered in full year '24 results as there's no incentivization cost and therefore in a more normal year would be slightly higher and explains part of the full year '25 headwinds. Marketing equates for around 7% of the cost base with depreciation and amortization, making up the remaining 10. The action plan, which I'll discuss on the next slide, is really to focus on the middle two boxes. So total cost base of circa 320 million. As announced in the statement today, the Group has embarked on a cost efficiency action plan to target between £20 million and £25 million of cost savings. This action plan will focus on all costs, but predominantly on regional and central support costs and looks at ways of driving more efficient organizational design, a focus on the way we buy through better procurement and use the skills employed in our supply chain purchasing and also look where possible to streamline internal processes without cutting into the muscle of the business. This program has the full buy in of the global leadership team and will be led by myself. We are not expecting any net benefit in full year '25. However, we expect to see the full benefit in full year '26. The new savings target gives a high single-digit percentage on the full year cost as I set out on the previous slide. As I'm sure you can imagine, three weeks in, it is difficult to give much more detail than this. However, this is a committed project, has started. We need to carefully manage the execution and I will give more thorough update in the November results. Hopefully over the last few slides have given you some more clarity, a detail behind our full year '24 numbers and the shape of the business. Now looking forward and our outlook, as stated in the announcement, we are not changing overall trading guidance for full year '25. However, this slide sets out some more detail on the guidance as well as some half one thoughts and some key targets by which to measure our success in full year '25 as well as set us up for full year '26. So outside the usual financials, we expect to see USA DTC growth in H2 full year '25 positive. The impact of which will have a knock-on effect on the autumn winter '25 wholesale orders in full year '26. Kenny will set out more detail, the clear action plans to deliver this. As I said earlier, cash is going to be a key focus of mine and with that in mind, we want to see inventory to climb by 40 million and turn that into cash. Adding this impact to other cash focus, we expect to see our net debt to be between 310 million and 330 million. Now looking at the half year results, as we've already indicated, we expect full year '25 to be more second half weighted. This is due to in the first half, the overall declines in Group revenue, circa 20% year-on-year, predominantly driven by wholesale, which we expect to be down by a third. As we increase our demand generation spend year-on-year in the first half to drive interest ahead of autumn winter '24 season and the impact of the incremental cost being evenly spread throughout the year. The overall impact of operational deleverage will be more pronounced in the first half. This will lead to a loss at profit before tax in the first half, albeit we still generate a positive cash EBITDA. Finally, the box on the right gives some more guidance of specific items for '25. Now, before I hand back to Kenny, I'd like to update you on the position in regards to the dividend. The board has decided to propose a 0.99p final dividend, which means a total dividend of 2.55p equating to 35% of the full year '24 earnings in line with the policy to pay out between '25 and 35%. Looking forward, it is the intention of the board to hold the full year dividend flat in absolute terms for full year '25. The board was keen to ensure clarity over the dividend during this year of transition. In full year '26, we intend to revert back to policy of paying between '25 and 35% of earnings. Finally, we are announcing that we in turn to move to a formulaic approach for interim dividends, being a third of the previous year's total dividend. With that, I shall say thank you for listening, and I shall hand back to Kenny.
Kenneth Wilson: Great, thank you very much, Giles. So Giles has covered FY'24 in some detail. We're now into FY'25, and I just wanted to make some key points around the year ahead. As we told you in April, we expect USA Wholesale to be down double-digit year-on-year. Also, we have assumed no meaningful in season reorders in USA Wholesale in our forecast. We will be shifting the focus of our marketing to product marketing in the year ahead. We also have a clear action plan in place for the USA direct to consumer business. As you've heard from Giles, we will deliver growth in the second half in USA DTC. Also, as Giles has told you, we're taking action to reduce our costs, and our boots action plans will reduce our inventories in the second half. Then in FY'26, Dr. Martens will return to growth, driven by boots and a growing USA business. We will have lowered our cost base, and the key IT systems we have been investing in will start to deliver results. Starting first with our EMEA region, our conversion markets continue to be a growth engine in the medium term. Germany, Italy and Spain all delivered strong double-digit direct to consumer growth, and the U.K. also delivered DTC growth, though at lower level. This year, total revenue in Italy grew, but overall revenue in Germany declined slightly and this was driven by our decision to reduce e-tailer volume. Our brand awareness remains strong across the EMEA region, and we grew awareness across all of our key conversion markets by between 2% and 3%. And by the end of FY'24, we had 19 stores in Germany and 12 in Italy. Moving to Asia Pacific, Japan continues to be our most important market in APAC. The revenue in EBITDA of this business has accelerated since we completed our successful franchise take back in the cities of Tokyo and Osaka. Today, more than 60% of our company owned stores are in these two cities. We have significant growth opportunities ahead of us in Japan as we expand the brand across the rest of the country. Brand awareness is growing, but we are still at low levels in Japan relative to other markets. And in Tokyo, where we have a larger retail presence, we have high awareness. Moving to our product strategy, which is about boots and shoes and sandals. In financial year '24, direct to consumer pairs of shoes and sandals grew more than 20% year-on-year. However, our boots saw a small decline. As I'm going to show you in a few minutes, our key goal in FY'25 is to drive desire and demand for our boots globally. Turning to the more difficult market, the United States. In FY'24, the boots market in the USA was particularly challenging. As this data on the slide shows from [Cercana] [ph], previously we've talked about them as NPD, shows boots were down 17% year-on-year. This weakness resulted in our wholesale customers buying less boots from us across the year. However, as we've previously communicated, we believe our implementation in the USA market could also be a key to have been better. And now we've put in place clear action plans, which will improve this performance in the year ahead. Where is that key focus in the United States? Well, the major area of focus in the next 12 months will be with those people who know our brand in the United States, but they haven't purchased yet. If you look at net consideration of our brand, it's up 5% amongst those who have purchased before. So that says we're retaining consumers. However, consideration amongst non-buyers is down 8%, and therefore we need to change our approach. So what's going to be different this year versus last year? Well, firstly, I wanted to talk about what we're going to do differently in all markets before turning my attention specifically to the United States. In the last four months since he joined the business, Ije has refocused our marketing on product marketing. We will talk specifically about our product rather than talking about our brand, and in autumn-winter '24, we will lead with boots. Our focus will be showing consumers that we have product for them, thus broadening appeal, and we will lead with our icons, but we will support our innovation. Moving specifically to the United States, our USA action plan will focus on three areas, on marketing, on digital, and on wholesale. We will be increasing our marketing investment as a percentage of revenue in the year ahead in the USA, whilst ensuring we maximize the return and the efficiency of the spend. Our marketing focus in the U.S. will be on icons and four key concepts, and we will be focusing on product marketing to drive consideration, and social media will be a key component of our plan. In digital, we will improve the quality of our product detail pages, and we will drive more qualified traffic and optimize our current checkout process to improve conversion. We will also implement order-in-store, which we already have in our EMEA business. In wholesale, our focus is clearly on driving sell-through with our key partners so that we stimulate reorders, as Giles has said, for FY'26. So how does this look on a calendar if you look at that in the United States? Our USA marketing efforts will be product-focused, as I said. It's all about driving consideration. We're going to support our icons across the whole of the autumn winter season with icons always on, and there'll be a focal point in October ahead of the key holiday season of Thanksgiving and Christmas. All of our marketing in the United States will support boots with soft leathers in July, with the rigger boot in August, with square two in September, and then obviously winterized in November. Throughout the second half of this year, USA consumers will hear a clear boots message from the Dr. Martens brand. So in summary, FY'25 is going to be a year of transition for Dr. Martens. However, we will drive a focus on product marketing. We will deliver a clear action plan for USA DTC improvement. We will lower our cost base and we will reduce our inventories. What that then does is give us the platform to return the business and the brand to growth in FY'26. Thank you so much for your attention. Giles and I will now be very happy to take questions first here in the room, and then also for those of you who are on the webcast, it would be really helpful given Giles is new, that if you just give us your name and who you work for, that would be super helpful. Thank you very much.
Q - John Stevenson: Hiding behind the podium. John Steveson, Peel Hunt. Yes, a couple of questions just to get us going. I mean, just looking at the U.S., I don't know if you can talk a little bit about the wholesale market in terms of where we are in terms of the number of accounts and the type of accounts you've got. Are you in the right place? Are you happy with the partners you've got? Have you lost any over the last 12 months? And in that marketing, I mean, what are you offering them in terms of marketing and support? Are we talking about spending more in terms of sort of in-store environments and actually helping them to promote the brand in terms of sort of POS and that sort of stuff? And can you talk a little bit about the U.S. marketing cost in terms of the amount you're going to be putting into the U.S. to get this going? And a final question just on the cost saves, the 20 to 25, is that incremental to the excess sort of storage costs we've got at the moment?
Kenneth Wilson: Okay, thanks, John. Several questions there. So if I start with USA Wholesale, and I'll take that and marketing and then Giles will take the cost question. So to answer your question specifically around number of accounts in the U.S., we think we've broadly got the right number of accounts, and we think that we've got the right people. This is really about now increasing shelf space with the accounts that we want to increase with. So I think we're happy with the account base overall. And Ije and myself were over in the U.S. recently, and we've had the opportunity to meet with all of our key accounts and talk through what we're going to do. In terms of marketing, there will be accounts that we work with specifically in terms of in-store, there'll also be accounts that we work with around training and development of their staff. And again, we've agreed those action plans with accounts. But I think all accounts in the U.S. and their own direct consumer business will benefit from the fact that we're going to put 100 basis points more into marketing in the USA. We're also going to spend more in earlier in the season. So August and September are critical months in the USA business in terms of supporting back to school and back to college. And so that when that person makes their choice of footwear, they're choosing Dr. Martens for the second half. And then as I've shown, we'll support boots all the way through the second half. So I think we've got very strong action plan and marketing support the U.S. business.
Giles Wilson: Actually, it's a very short answer. Yes, it is incremental.
Alison Lygo: Hi there, Alison Lygo from Deutsche Numis. And so three for me first, just on the CapEx, so cash CapEx of 28 million was perhaps a bit light of where I was expecting. Is there anything to be aware of there in terms of phasing and cash hasn't gone out yet flowing into next year as CapEx actually just come in lower than expectations and kind of what was the driver of that? Next question, then, could you just remind us on the shape of the DCs in terms of where they are and sort of what capacity that gives you by market? And then, finally, on the U.S., so marketing plan, really clear there. And thank you for setting that out. But just wondering a bit about your store opening pipeline that are you focused on kind of leveraging the existing stores that you've got in the U.S.? Or will you be kind of opening new stores to sort of support with brand awareness over there?
Giles Wilson: So just to take the CapEx, yes, I mean, that is the right numbers come in, there's no real big phasing, there was a little bit of a slowdown in the second half with more to do with the plan that the store openings and I think you'll see if you look forward with sort of guiding 40 million for full year '25.
Kenneth Wilson: Okay. I think the next question was around DCs, Alison. So what do we have? Europe, we've got two distribution centers, we've got the one in the U.K. to serve the U.K. We've got one in Netherlands, which serves all of the rest of the European environment. In the United States, our main DC is outside Los Angeles to service sort of west of the Mississippi. And then, we've got one in New Jersey for the east side of the country. Before I go to Asia, the answer to your question, are we set up to service the business? Absolutely. As Giles mentioned, I mean, we've actually put a distribution infrastructure in place for a bigger business. And obviously, this year, the business has declined. So we've got no issues around our ability to service as we return the company to growth in FY '26. In Asia Pacific, and because of the distances between the countries, we've got market by market DC. So Japan has its own distribution center, Korea has its own distribution center, Hong Kong has its own distribution center. So it's a country-by-country network there. In terms of your question around USA stores, we didn't open any stores in the United States in the second half of FY '24. That was a very deliberate choice, because we wanted to focus on the stores we already had, in the guidance that Giles gave for the number of stores for the year ahead, I would expect very, very limited store openings in the United States. So think very low single-digit. The reason for that is that, again, we need to deliver on what we said we're going to do, which is turn around the existing USA DTC estate, and also clearly the ecommerce business there. So we want to we want to minimize distraction. Longer term, we still believe that we've got the opportunity to have a lot more stores in the United States and all of the new ones that we've opened in the last 18 to 24 months are, they're profitable stores. So it's really a focus question more than anything. Thank you.
Kate Calvert: Morning, Kate Calvert from Investec. Just following up on the store openings, you have highlighted 25 to 30. So how are they going to split between Europe and APAC? And also, could you give us an idea in terms of Japan as to what you think the optimal number of stores and stores could be? Second, coming back on John's question, you talked about a reduction of 300 wholesale customers year-on-year. Can you just give a bit more of a split by geography as to where those were taken out? And the final question is just on the U.S. wholesale channel. What's your data saying about where your partners are? In terms of their level of stock, how well are they getting through and reducing those stock levels? Thank you.
Kenneth Wilson: Okay. I'll start and feel free to chime in. Giles is three weeks. So on the store openings, Kate, the 25 to 30, let's call it one to three in America. So very limited to the answer to Alison's question. And then, broadly, the others will be split between Europe and Asia Pacific. Europe, think continental Europe, so not the U.K., and Asia Pacific, think Japan and some in China as we start to build out the owned and operated business there. So that's broadly what we've got. In terms of your second question, which was around stores in Japan, clearly what the slide shows is the company owned stores that are in Tokyo and Osaka. There's a lot of more than 100 million people live in Japan. There's Nagoya, Hiroshima, Kyoto, Fukuoka in the south, Sapporo in the north. I mean, there's a lot of opportunity for us to grow the business. And I think, we believe that we can potentially double the number of stores that we have in Japan versus today. I think there's also opportunity, by the way for more stores in Tokyo, too. In terms of your question around wholesale customer reduction, it's the sort of general weeding and seeding across all of our markets. So, we add new premium doors where we want to go in. We take doors out. The country where we had the largest reduction in door numbers was actually Italy. And that is because Italy is quite a fragmented market. So in a country like the U.K., you have one account with many doors. In Italy, it's often a one-to-one relationship between accounts and doors. And we're just going through that last phase of taking the business back from the distributors. We prune the doors over a number of years. So that's effectively where the big numbers are. The last question was around where are our USA wholesale customers inventory situations at? So, we've said previously our sales in wholesale are down, let's call it circa 20%. Inventories are down more than that. So, clearly we've taken a hit in the last year, as Giles showed, with a big reduction of sell into USA wholesale. We believe that's absolutely the right thing to do because we're sitting in a very clean position. So when we start to drive demand for boots again in the United States, the reorders will come. As you know, we've assumed no meaningful reorder in this financial year. We've assumed that's going to come in FY '26, but I'm very happy, as are our key accounts in the United States with their inventory positions.
Adrian Duverger: Hey, good morning. Adrian Duverger from Goldman Sachs. I have two questions, please. The first one would be on the U.K. market. Can you tell us a bit more about the performance and the organic trends that you're seeing? How would you describe the performance, particularly with regards to new customer acquisitions and maybe sales across repeat customers? And maybe just overall, are you seeing any new competition entering in the boots category? I'm thinking, for example, about Birkenstock and their boots that they just released.
Kenneth Wilson: So in terms of the U.K. market, I mean, obviously the best data we have is our own direct consumer business. So we said in the statement that our direct consumer sales in the U.K. grew low single digit on top of a very good year the year before. So our most mature market continues to grow. So we feel very good about the health of the brand in the UK. In terms of your question about recruiting new consumers versus repeat consumers, I wish our data sets were better than they are. That's why we're implementing our customer data platform at the moment, which will give us a single view of consumers. But what I can say is that we've got good recruitment of consumers in the U.K. I think it's part of the reason why we've got such a healthy business. But unfortunately, I can't give precise data because we don't have it. In terms of the last question about competition on boots and Birkenstock, I think Birkenstock is the number one player in the market on sandals globally. I think they're a great sandals brand. In terms of boots, is that where our major competition comes from? No, I don't think so. So I don't think we're seeing any major new emergent competitor in boots that we feel, if we're talking specifically for this market, that's stealing share from us now. Do we have any questions on the webcast?
Operator: Thank you very much, Kenny. [Operator Instructions] We have a question from Natasha Bonnet from Morgan Stanley. Natasha, your line is now open.
Natasha Bonnet: Hi. This is Natasha Bonnet from Morgan Stanley. Thank you for taking my questions. My first one is just on your guidance for fiscal year '25, because the minus 20% revenue decline in H1 and the single-digit decline for the full year implies quite a sequential acceleration in the second half. So can you tell us what gives you confidence for this acceleration in H2 and assume it's mostly being driven by DTC given the performance of wholesale? But I believe on the call you said your underlying retail like-for-like is negative. So can you just give us some more clarity on that? Coming back to your store and then again, on that just what gives you confidence in store opening plans of 20 to 25 stores this year, given underlying like-for-like retail. And then the last one will just be on your order books because you obviously flagged that order books in the U.S., you know, are down. But what are you seeing in terms of order books for EMEA and APAC, please? Thank you.
Giles Wilson: Okay. I'll take the guidance full year '25. So, yes, you're absolutely right. We are guiding circa 20% down in H1. And you've listened to what Kenny's talked about, about the focus in the second half, particularly in boots, particularly in the plans to reignite. We've also got very weak comps that were coming off in in the second half of full year '24. So that's where we get those confidence in that return in the second half.
Kenneth Wilson: I think your question, Natasha, around store openings and what gives us confidence in in store openings, if we look at the performance of the new stores that we've opened over the last two years, and we review this every six months, we're very happy with the profitability of the new stores that we've opened. We're also happy that those new stores we can prove everywhere in the world that then consumers in those cities go on to buy more online. So continuing to open the right stores in the right places is absolutely the right thing to do for the business. However, as we've said, where we've got a tougher business right now in the United States, we've deliberately slowed down new store opening because it doesn't make any sense to distract the team with more projects when they can focus on the here and now. In terms of the order books for the other two regions, I mean, obviously, when we gave guidance in April that we said the business would decline single digit in FY '25, we had full visibility on the order books for all three regions. We said the Americas would be tough. But we're very happy with the order books for EMEA and Asia Pacific. So the only piece of the year that we don't know the answer for is spring, summer 25, which in this financial year will be January, February, March '25. And we won't have visibility on that for a few months. But we have no heroic planning assumptions in there. So that was a long-winded answer. The short answer is we're very happy with EMEA and APAC. U.S. as we said was difficult.
Operator: Thank you very much. [Operator Instructions]
Kenneth Wilson: Yes, knocking, but they're not coming in.
Operator: We currently have no further questions. I am now handing back to Kenny Wilson.
Kenneth Wilson: Great. Thank you very much, both in the room and on the webcast for giving us your attention today. I mean, I think the key message that we want you to hear is, FY '24 was disappointing, especially our performance in the United States, but strong performance in EMEA and APAC DTC. FY '25 is going to be a year of transition, but it's also going to be a year of action. We're doing a lot of things to drive the sales line. We're also doing things to ensure that we make the right actions in terms of savings and we will bring our inventories down. And what that will do is it will give us the platform to make sure that Dr. Martens gets back to where it should be growing again in FY '26. Thank you very much.